Duncan Tait: Well, good morning, everyone. I'm Duncan Tait, Group CEO, and I'm joined by our Group CFO, Adrian Lewis. Here today's agenda. I'll give an update and overview on market context. Adrian will then run through 2025 results, and I'll sum up and discuss the outlook for 2026. Today's presentation is available on our website, and a recording of today's session will be available later today. After the presentation concludes, we'll take your questions. So let's begin. Inchcape delivered a strong 2025 performance against the backdrop of tariff-related disruption and economic uncertainty, reaffirming the strength of our diversified and scaled business. Our colleagues in the Americas and the Europe and Africa regions posted record PBT performances. Against a number of challenges, APAC delivered a better H2 performance, and we're working with our OEM partners and across the value chain to drive further performance improvements. We continue to execute against our Accelerate+ strategy, winning more distribution contracts and executing an acquisition in a new market for Inchcape. During the year, we returned around GBP 340 million to shareholders through dividends and buybacks, grew EPS and DPS by 13%. And with leverage of just 0.4x, we're ready to go again in 2026, starting with a new share buyback program of GBP 175 million. Now, this slide shows how we delivered against all of our key growth drivers on the left-hand side of this chart. That includes the financial metrics I mentioned, including our resilient margins as well as vehicle volumes, customer and colleague-related metrics. And on those dynamics, we continue to build on our strong customer reputation in the industry, with a 6% increase in our scores on reputation.com. In addition, our employee engagement score of 81%, up 4 points from the previous year is a clear signal of Inchcape's collaborative, entrepreneurial and high-performance culture, which is a testament to the caliber and talent of our 16,000 people across our 40 markets. Last year, we generated GBP 315 million in free cash flow, which clearly highlights our cash generative and capital-light model. This capital was deployed to drive growth and shareholder returns, with a 13% increase in dividends per share, GBP 238 million invested in share buybacks and GBP 35 million utilized on the Iceland acquisition. And we have a healthy pipeline of bolt-on M&A opportunities in place to supplement our organic growth. This delivery of our strategy enabled us to deliver return on capital employed of 29% and helped us grow EPS by 13%. And we continue to execute against our Accelerate+ strategy by scaling and optimizing our regions. Our objective here is to develop our OEM partner portfolio and geographic footprint, thereby enhancing the resilience in our earnings profile. And this will help to drive our progress against our ambition to achieve 10% market share across our markets. Last year, we grew distribution contracts won in previous years, with these contracts being a key driver of our organic revenue growth. We're also awarded 10 new distribution contracts with existing OEM brands, including New Holland in Ethiopia and Kenya, BYD in Lithuania and Latvia, XPENG in Colombia and GAC AION in Greece as well as new partners, smart in Colombia, Uruguay and Ecuador and Iveco in Hong Kong. To drive operational execution, we continue to optimize our business in a number of ways. Firstly, we further rationalized our brand portfolio, mutually exiting 4 immaterial contracts with Komatsu in Ethiopia and 3 Geely contracts in smaller markets in the Americas. In addition, we continue to recycle capital by divesting non-core assets, and we grew our third-party retail network, enabling broader in-market coverage in a capital-efficient way. We continue to drive the penetration of value-added services, in particular, growing our distribution of relatively high-margin OEM certified parts as well as delivering and developing financed insurance products by utilizing our global scale and partnerships. We also optimized our business by further collaborating with our OEM partners on product and inventory management, supported by our consistent execution and differentiated technology-based sales and operation planning processes. To that end, we positioned ourselves well for the second half of the year from a stock perspective, successfully reducing the build-up of inventory in the first half, with inventory cover at the end of 2025 remaining flat year-on-year. Our sales and operational planning processes are supported by AI in a number of areas. In our parts business, we run pricing, optimization and demand models, which enable us to trade tens of thousands of parts at optimal price points. We're also leveraging AI to drive innovation across our business. For example, we recently launched a vehicle pricing algorithm in Chile, which analyzes price to volume elasticity to ensure we price vehicles even more accurately. Back to our optimization activities, we've also taken decisive action on our cost base, reinforcing our devolved operating model, driving efficiencies and tackling challenges in certain markets. To that end, during the year, we initiated a cost reduction program across the group, with a particular focus on the APAC region. Next, I want to discuss our diversified and scaled OEM portfolio. We have long-standing relationships with many OEMs, some of which go back for over 50 years. Our role in the automotive distribution value chain is more important than ever. We continue to support these manufacturers in an increasingly complex and fast-moving environment, growing their volumes and market share in existing markets and helping them to enter new markets. We also have some relatively new OEMs in our portfolio on the right-hand side of this slide, who we've worked with for just a few years. Of those, I wanted to highlight that we are seeing BYD continuing to in-source distribution in medium to large-scale markets in Europe. This is a BYD-only dynamic, and we are seeing our other OEM partners rely on Inchcape more than ever before. On the next slide, here's some market context in what was a transforming automotive industry in 2025. In general terms, the new energy vehicle transition is becoming more of a multi-powertrain story. Importantly, as a powertrain-agnostic business and with our deep specialist market knowledge, Inchcape is well positioned to support our OEMs in their individual new energy transition journeys. Overall, market volumes across our markets grew by 2% in 2025, with the indirect impact of tariff-related disruption affecting demand in our markets in the first half of the year. Inchcape outperformed the market, growing our volumes by 3%. The macro environment improved in the second half in a number of our markets, particularly in the Americas and the Europe and Africa regions, offsetting a challenging backdrop in Asia. In the Americas, market volumes were up 8%, with a multi-drivetrain approach playing out. In Chile, our largest market there, there was a 3% TIV growth during the year with a stable market environment. Colombia and Peru experienced strong market growth, while there was a weaker growth in some markets like Costa Rica. In Europe, another multi-drivetrain story. Southern European markets like Greece and Bulgaria remained strong, while there was weakness in certain Northern European markets like Finland and Estonia. In APAC, BEV adoption continued to accelerate, partly as a result of the successful rollout of BEV in Asian markets. Chinese brands have grown market share across the region in recent years. These dynamics have created a highly competitive environment in most markets in the region. In addition, the premium segment in APAC remains weak, with consumers in that market segment continuing to hold off on buying higher-value vehicles. To date, we've not seen any similar weaknesses in the premium segment in our other regions. Finally, on APAC, Australia, one of the largest vehicle markets in which we operate, remains resilient, but it is an increasingly competitive environment. That's it from me for now. I'll hand over to Adrian.
Adrian Lewis: Thank you, Duncan, and good morning, everyone. I'll take you through our results for 2025. We generated revenues of GBP 9.1 billion, with organic revenue growth of 1% and resilient operating margins of 6.2%. Distribution contract wins were the significant portion of growth during the year. Adjusted PBT was GBP 443 million, up 3% in constant currency. And our PBT performance was supported by a contribution of GBP 17 million from the gains arising from the divestment of non-core assets, while translational currency headwinds were approximately GBP 19 million. Excluding the disposal gains, our operating margins were 6% and in line with our medium-term targets. Return on capital employed was again very strong at 29%, highlighting the high-return, capital-light nature of our business. Free cash flow delivery was a highlight as we produced GBP 315 million with a stronger performance in the second half, and this was 104% free cash flow to adjusted profit after tax conversion rate and in line with our medium-term targets. Closing leverage was 0.4x, down from the 0.6 at the half year and well within our self-mandated headroom of 1x. Adjusted basic EPS was 80.8p, up 13%, predominantly as a result of a lower share count from our share buybacks. And today, we declared a final dividend per share of 22.8p, taking the total dividend per share for the year to 32.3p, up 13% from the prior year. So in summary, our performance in 2025 was a reflection of our continued operational delivery and progress against Accelerate+, which ensured we continued to deliver value for shareholders. 2025 was a year of 2 halves and as expected, and as we highlighted during the course of 2025, our second half performance was much stronger than the first half, supported by a wide range of product launches across our business. And as a result, we saw stronger half 2 growth rates across our regions, supported by product launches. And subsequently, our volumes and revenue swung from negative growth in half 1 to positive growth in half 2, helping to drive profits and cash flow in the second half. And for the year, we delivered organic volume growth of 3%, outperforming the market, which grew by 2%. And as a reminder, we have published our usual market tracker today, which shows the key market trends. Now let's look at each of the regions, starting with the Americas. We built positive momentum in the region during 2025, supported by improving market conditions, our excellent performance and our growth profile in the region highlights the success of our acquisition of Derco in 2022, as well as the other historic acquisitions and contract wins in the region. These transactions have helped us to build scale and market share. And as key markets have turned to growth, we have similarly seen a stronger performance. Market volumes and organic revenue were both up 8%, with growth from our core brands offsetting the impact of the brands we exited in 2024, and this ensured we achieved stable market share across the region. There was a strong performance in our scaled markets, including Chile, Colombia and Peru, offsetting the weakness in certain markets like Costa Rica. Operating margins were up 70 basis points to 7%, and this reflected resilient gross margins and operating leverage from higher volumes. In addition, we continued to efficiently scale our business through cost discipline and capital recycling, with an GBP 8 million contribution to profits from non-core asset divestments. And for 2026, we expect the market environment to remain supportive, with a typical seasonal weighting towards the second half, resulting in a profitable growth for the year. In APAC, our market volumes, which were down 1%, our organic revenue declined 12%. As expected, our second half performance was an improvement on the first half as a result of product launches. In Australia, our largest business in the region, it is increasingly competitive and our business remained resilient, supported by our growing and diversified brand portfolio. However, we underperformed in our Asian markets, with a proliferation of Chinese brands increasing the competitive intensity, particularly in markets where BEV penetration is high. And additionally, in some markets, the premium segment remained weak. And as a result of lower revenues, operating margins contracted by 60 basis points to 7.2%, despite a GBP 9 million contribution to profits from non-core asset divestments in half 2. Actions were instigated during the year to protect margins, including our enhanced collaboration with our OEM partners on product positioning. We also initiated a cost reduction program focused on the regional headquarters and certain underperforming Asian markets to ensure we are more agile in a fast-moving and dynamic environment. For 2026, Australia is expected to remain stable, but challenges in other markets in the region are expected to continue. We expect operating margins this year to be supported through the ongoing implementation of the management actions I mentioned. And additionally, production disruption is expected to impact certain APAC markets in half 1. This disruption relates to production reconfiguration by some of our OEMs, which will have a short-term impact on supply. On to Europe and Africa, where we again delivered well and outperformed in a growing market. Market volumes were up 3%, with our organic revenue growth ahead of the market at 6%, supported by a contribution from distribution contracts won in recent years. And as Duncan mentioned earlier, BYD continues to in-source automotive distribution in medium to large-scale markets in Europe. We have a contract with them in Belgium and Luxembourg, which contributed less than 5% of regional revenue and around 1/3 of our 6% regional organic growth. At a group level, this contract represents less than 2% of group revenue and less than 1% of group adjusted PBT. So it's a financially immaterial contract in the context of the group and the region. And while we have performed well for BYD in Belux since our appointment in '22, given the commercial approach in medium- to large-scale markets in Europe, we do not anticipate that this contract will be renewed. It expires in Q3 '27. Our role in the value chain is a critical part of how OEMs access markets where we specialize. And as Duncan mentioned, we are not seeing other similar moves by other OEMs. Now back to my regional review of Europe and Africa. Our acquisition in Iceland is performing well, and there was a particularly strong performance across our business in Southern Europe, supported by good consumer take-up of a range of hybrid products and strong growth in the market. Africa continued to grow through distribution contract expansion. Operating margins were down 10 basis points to 4.6%, but in line with historical norms with gross margin resilience and operating leverage from scale offsetting the initial dilution from immature distribution contracts. During 2026, growth rates are set to slow in certain markets, which will be partly offset by the full contribution of Iceland as well as continued operational execution and momentum across the region and the growing contribution from the multiple contracts won in recent years. And on to our financial performance, and this slide shows our income statement. We delivered adjusted operating profit for the year of GBP 563 million, down 1% in constant currency. Regional mix impacted gross margins, but this was largely offset by the continued cost discipline where our overhead to revenue ratio fell by 20 basis points. Adjusted net finance costs decreased by GBP 19 million to GBP 123 million, driven by lower average net debt and a more favorable interest rate environment. Adjusting items amounted to an expense of GBP 37 million, and this was primarily driven by one-off costs relating to acquisition and integration of GBP 10 million, mainly in relation to the final stages of the Derco integration. And there were also restructuring costs of GBP 23 million, broadly split evenly between the cost reduction actions that I mentioned earlier and the continuation of our back office restructure following the U.K. disposal. And adjusted PBT was GBP 443 million, 3% higher on a constant currency basis. And the effective tax rate was flat at 31.4%. Adjusted basic EPS was up 13% to 80.8p and up 17% in constant currency, so well ahead of our medium-term target. And this was supported by a reduced number of shares in issue as a result of the share buyback programs executed during the year and the effect of averaging from the buyback program in 2024. Now, this slide shows our net debt bridge. Inchcape has a strong balance sheet supported by consistently strong free cash flow generation, which ensures we can execute a disciplined approach to capital allocation. Having generated over GBP 300 million in free cash flow, dividend payments amounted to GBP 101 million and share buybacks amounted to GBP 238 million as we executed our capital allocation policy. There was net M&A spend of GBP 29 million, including the GBP 35 million in cash invested in the Iceland deal. And the net of these elements saw leverage fall to 0.6x EBITDA, down from the 0.6 seen at the half year, providing the group with capacity to continue to allocate capital to drive growth and shareholder value, which brings me to our capital allocation approach, which remains disciplined and returns based. We will continue to pay dividends at 40% of earnings. We will continue to act with discipline in the balance of capital allocation between the value accretion from share buybacks and value-accretive acquisitions whilst running leverage below 1x EBITDA. And having completed the Iceland deal last year, we will continue to activate our healthy pipeline of bolt-on acquisitions, acting with discipline on valuations. We see merit and strategic value in expanding the scale of the group. However, a large deal is not currently in our consideration set in the near term. And since August 2024, we have repurchased GBP 400 million in shares through our share buyback program, reducing our shares in issue by around 13%. And today, we are announcing a new share buyback program of GBP 175 million, which is expected to complete over the next 12 months. And it is worth noting that of the 2025 buyback program, where we repurchased 9% of our equity, only around half of this has been recognized in EPS, with the effect of averaging and this will provide a tailwind to EPS for 2026 of around 4% to 5%. Our capital allocation policy will help to drive EPS growth and deliver further value for shareholders, whilst retaining the capacity to expand through acquisitions. So to sum up my section, here is a reminder of our medium-term targets, which we are reiterating today. To the end of 2030, we expect to generate GBP 2.5 billion in free cash flow. We will deploy this free cash flow to drive shareholder value with a consistent dividend policy and in excess of 10% compound growth in EPS. So that's it from me. I'll now hand back to Duncan.
Duncan Tait: Thanks, Adrian. So, I wanted to give you a mid-term review of how we have transformed Inchcape's investment proposition over the last 6 years, driving growth and value for shareholders. Over that period, we have become a pure-play automotive distribution business, divesting of a number of retail-only assets and ensuring our business is more resilient higher margin and generating better returns on more cash. Over decades, we have built an unrivaled diversified portfolio of global OEM partners, winning over 50 contracts with a range of the world's best manufacturers since 2019. As a distributor, our powerful commercial relationships with these partners operate across global, regional and local levels. We have continued to deliver a strong performance for them, supported by our differentiated data-driven approach, nearly doubling our distribution revenues. We've also delivered a 200 basis point improvement in our operating margins from 4% in 2019 to 6% today, increasing return on capital employed over that period from 22% to 29% Driven by this growth and strategic focus, we've generated GBP 2.3 billion in total free cash flow and raised around GBP 900 million in cash from the divestment of non-core retail-only assets. This has enabled us to return GBP 1.3 billion to shareholders through dividends and buybacks, while we continue to invest in value-accretive acquisitions. EPS grew 35% over the period. And I hope that by reinforcing our track record of delivery, this gives you a sense of what we expect to deliver in the coming years as a capital-light automotive distribution pure play. We have a compelling capital allocation policy and clear medium-term operational and financial ambitions, which we are very confident of delivering against. And to that end, as a management team, we're extremely excited about the future for Inchcape. Now, this is a reminder of our Accelerate+ strategic framework, and that's enabled our performance as we continue to scale and optimize our business. And we will continue to deliver against our medium-term ambitions, supported by our strategic enablers outlined here. So finally, for me today, on to the outlook for 2026. We expect to deliver a year of growth at constant currency, in line with our medium-term guidance. This will be achieved by the delivery of organic volume growth towards the lower end of our 3% to 5% guidance range, supported by contract wins. We expect continued momentum in the Americas and Europe and Africa regions, while we are decisively addressing the challenges in APAC. We expect to deliver resilient operating margins of circa 6% this year, in line with our medium-term guidance, supported by further penetration in aftersales and finance insurance, enhanced collaboration with our OEM partners and our actions on cost reduction. We also expect to deliver free cash flow conversion of circa 100% and EPS growth of more than 10%. Our performance this year will be skewed to the second half due to usual seasonality in the Americas and supply chain phasing in APAC. We also reiterate our medium-term targets, which will be delivered through our highly cash generative and capital-light business model and a disciplined approach to capital allocation to deliver greater than 10% EPS CAGR to the end of 2030. So just to sum up, Inchcape delivered a strong 2025 performance, reaffirming the strength of our diversified and scaled business as we continue to execute against our Accelerate+ strategy. We expect to deliver another year of growth in 2026, and our confidence about our prospects for the year is underlined by our new GBP 175 million share buyback program. So that's it for the presentation. So let's take your questions, firstly, from people here in the room, then the phone lines. And finally, from the webcast via our Head of IR, Rob.
Duncan Tait: My word, what a popular morning. Dear me. James, can we go to you first, please?
James Bayliss: It's James Bayliss from Berenberg. Two, if I may. You referenced you increased your value-added services penetration in the year, and I can see aftersales gross profit was up 4% year-on-year on an underlying basis. How should we be thinking about that profit stream going forward relative to vehicle distribution given everything that's going on in supply chains? And then my second question. Can you just elaborate on that BYD disintermediation piece in its larger markets? You seem quite reassured that's not a trend that should impact other OEMs in your portfolio. So any comments there?
Duncan Tait: Very good. I think I'll take these. So look, first of all, in terms of value-added services, it is quite clearly a higher-margin portion of our overall business. And not surprisingly, James, I'd like to grow it. We have a number of initiatives across our finance and insurance business and our parts business to do so. You saw that coming through in 2025, where new vehicle volumes of 3%. Value-added services or aftersales grew at 4%. And to put it simply, I would like us to continue to grow our aftersales business faster than new vehicle volumes. And I think we have the opportunity to do so over time. Don't expect us to be able to pull a lever and immediately see an uptick. We have to do a lot of things across our business to grow that, but I'm confident in the team's ability to execute accordingly. Now to your point about BYD, look, let's put this in context. We have a brilliant portfolio of long-term relationships with OEM partners. We celebrated 60 years in January of this year, with one of our OEM partners in one of our markets in Europe, 50 years in Guam, Saipan and Brunei with other OEM partners. These are long-term relationships. And we've won over 50 contracts, the majority of which have been through our existing OEM stable, including some of the Chinese OEMs that we've had relationships for over 20 years like Changan and Great Wall. Now at the same time, it's become really obvious in Europe, hasn't it? The BYD has been in sourcing contracts in medium to large-scale markets, and that describes a story that we envisage in Belux. We're not seeing that with other Chinese OEMs or other OEMs, and the way I feel about it with uncertainty in the world and with the backdrop of EV transition, we're even more powerful for our OEM partners than we have ever been. Thank you. Let's stick on this side of the room, please.
Andrew Grobler: Andy Grobler from BNP. Just a couple, if I may. Firstly, you talked about Australia getting increasingly competitive. Can you just talk through how that is manifesting? Is it through price or anything else? And then secondly, a few more contract wins in 2025. Can you just talk us through the tailwinds you're seeing from completed deals into '26?
Duncan Tait: Yes. Sure. I'll do one and could you do 2, Mr. Lewis. So yes, look, if you think that Australia market, about 1.2 million TIV, so total industry sales last year, about flat on the previous year. We have seen more Chinese OEMs enter the market. If I go back to when I first started at Inchcape, there would have been about 55 OEMs operating in Australia. There's now closer to 80, and they'll all be fighting for share. I think what you see with our Subaru portfolio, which is we have a unique customer base that values the Subaru value proposition. We've introduced more models in 2025. We'll do so again in 2026. And also at the same time, we've launched the Foton range of trucks or utility vehicles into that market. That product launch has gone really well, and we'll steadily build up that Foton business over the coming years, but we've seen good growth already in January, if I compare it to where we exited 2025, and we've launched Changan's Deepal range of products. So we are well positioned. My intention in our Australia business is to double our market share over time, but let's recognize the market is getting a bit more competitive.
Andrew Grobler: Are you seeing that impact price to any great degree?
Duncan Tait: So I'm not seeing it impact pricing in the Australian market. Look, we'll continue to do what you'd imagine a brilliant distributor does, which is bringing the right products in, configuring them in a way that gives the right pricing and margins for Inchcape. And we have a team in Australia who can tell you the ins and outs of every segment of TIV growth, how pricing affects volume aspirations. And I think you can see that in the way we've positioned the Foton brand about gaining share in the right way in a way that's profitable for us and our OEM partners, what we continue to do.
Adrian Lewis: And just on your question on contract wins and the tailwind it might provide us with. Look, if you go back to 2025, most of our growth in 2025 came from that contract win performance. And if I take you up to our medium-term guidance, we talk about our markets growing at around 1% to 2% in aggregate. Lots of noise within that, and you see that in our market tracker. And our ability is -- and our contract win performance will help us to outperform the market. That's what you should expect to see us continue to do in 2026. And if you think about that guidance we've provided around the average contract, 1 to 3 years as we build momentum, figure out how a brand is going to work in a particular market in years 3 and 4 and 5 is when you start to see scale. A lot of the 50-plus contracts that we've won, they're still in years 1 and 2 of their maturity curve. And so, we've got the tailwind of those to come in '26, '27 and '28. But you'll also see us act with commercial diligence. You've seen us exit 4 immaterial contracts this year where it wasn't commercially viable for us to do so. So we'll continue to see -- to make sure all of our contracts stand up and work -- stand up on their own 2 feet and work for both us and for the OEM partner.
Duncan Tait: Okay. Can we go to Sanjay next, please?
Sanjay Vidyarthi: Sanjay Vidyarthi from Panmure Liberum. A couple from me. First one, can you give a bit more detail in terms of the cost action that you're taking in APAC, exactly the nature of that? And would it be sufficient, do you think, to hold margins stable in the year ahead? Second question, in Europe, I guess just wanting to understand, it's more of a fragmented market in terms of market shares for you in most markets, I guess, outside of Greece. How are you thinking about kind of building the same kind of operating leverage of the infrastructure that, say, you're starting to do or doing quite nicely in the Americas. It's clearly, I guess, harder to make acquisitions. There's a small number of contract wins, but how should we think about that opportunity?
Adrian Lewis: Okay. So I'll do the cost actions first. So we talked about the cost actions. And around -- if you think about that adjusting item that we posted, around GBP 10 million of the investment we made in adjusting items was related to that cost action. It is both at a regional level and in specific markets where we are trying to get flexibility in our cost base to make sure we can have the right resource structure for the market that we're facing into. So do I think it will underpin margins? That's exactly what the phrase we've been using. And of course, we've got the property contribution to lap as well. So it's going to help to offset some of that as well. So -- and I would say as well, we're going to continue to make sure we drive flexibility in our cost base and act with commercial diligence around our portfolio of brands that we operate in APAC. So we've got a bit more work to do before we're finished. So you can expect some more in the first half of 2026.
Duncan Tait: Very good. Thank you, Adrian. So on to Europe and Africa, clearly, we'd like to do what you're suggesting, Sanjay. So -- and look, haven't that Europe and Africa team done a great job over the last few years? 2025, an even better performance as they gained share and delivered record top line and bottom line performance for Inchcape in the region. And if you look -- you called out Greece, but actually, we've grown market share in the last few years sustainably in Greece, Albania, North Macedonia, Romania, Bulgaria and in Belgium. So the team is executing really well. We've won a chunk of contracts in that Europe and Africa region over the last few years with companies like Changan, with BYD, with GAC and with XPENG, and I would hope a few more to come. So getting above that 10% magic number that we refer to in the company, our Europe and Africa team are very much focused on that. We've also expanded out in certain markets, and I can see the fruits of that going on in Greece, where we've been building a B2B business with small- to medium-sized businesses in Greece. We're doing the same in more markets, which I think will give us an opportunity to further scale. And look, you referenced it might be a bit more difficult to do M&A. Well, we have our Iceland deal, and my challenge to our team is to find some more. But your point about having more and more units and revenue going through an optimal cost base to generate better returns for shareholders, we're very focused on that. Thank you. I think let's be efficient and hand the mic.
David Brockton: It's David Brockton from Deutsche Bank. Can I ask 2, please? The first one following up on Sanjay's question in respect of APAC. I fully appreciate the cost actions you're taking. Is there anything that can help to mitigate the pressure from a top line perspective in terms of new models that you could touch on? And then secondly, you obviously talk about the strategy to further diversify the business from a brand perspective. But equally, you talk about the virtue of rationalizing brands in the Americas for the smaller ones. Is there a minimum level where below that, it is not economic for you to act as a distributor?
Duncan Tait: Very good. Let me have a go at both. And Adrian will correct me if he feels necessary. Look, on Asia Pacific, the market has been very competitive, and we are seeing intense competition in many of those markets. as I would say internally, and that's our job. That's what we do every day. In our 40 markets around the world, we compete and drive great performance for our OEM partners. I think it's quite natural for us to make sure that our cost base is at the right point for that business to protect margins. But we also have to focus on the top line to your point. Now what are we doing? We're working really closely with our OEM partners to make sure we've got the right products for those markets. I'd give you an example in Hong Kong, where we've just launched in Q4, bZ3X, which is a Toyota pure EV made in China that gave better market share in December and again in January. It's a really great product for that market. I would hope to see it in other markets across APAC. We've had new brand launches I referenced before in Australia like Foton and Deepal, which will give us some top line momentum. And then we will launch 10 new products this year in Singapore from Toyota and Suzuki across hybrid and EV range to get us back to where I'd like us to be in those markets, which is back to gaining market share. So we'll look after the bottom line through cost, and we are here to compete and win in the marketplace and drive top line.
David Brockton: And the second question?
Duncan Tait: And the second question, in terms of brands, look, you'll forgive me if I don't say who fits into each of these categories. But look, we've effectively classified our OEMs into As, Bs and C category OEMs. We want to build our whole business around A and B OEMs. where we can have headquarter relationships, regional relationships and, of course, local relationships. And those OEMs, we think we are fit for the market and we can make good returns for shareholders with. But there are some OEMs that don't fit into the strategic category where they just have to wash their face and make money for us and our shareholders. And when we find those brands are not able, for whatever reason to compete in that marketplace and make returns for us and gain market share, then I think the best thing for us to do is to very cordially, politely and collaboratively exit those relationships. And by the way, you should expect us to continue to do that in 2026. You already have the microphone Mr. Nussey.
Andrew Nussey: Yes. Andrew Nussey from Peel Hunt. A couple left from me. First of all, the phrase enhanced collaboration with OEMs strikes me as a great catchall. So beyond sort of the model lineup, are you negotiating better inventory support? Are they helping share some of the costs? Are you getting better buying terms in those regions, which obviously are under a little bit of pressure is the first question. And secondly, specifically on the Chilean market, just your thoughts on TIV there, the penetration of your brands and the ability to keep scaling margin in that particular geography?
Duncan Tait: Chile. Right. Okay. I'll take them both, and Adrian can supplement if it's okay. So in the catchall of enhanced OEM collaboration, Andrew, look, you would expect us to have really good relationships with the OEMs that we've been working with for 4 decades. And I think bringing the power of those relationships to bear on our markets is really, really important. To give you an answer about some of the more specifics of what we're doing, we're repricing certain models where we need to regain competitiveness and therefore, give us an opportunity to grow share. We've done that in a number of our markets across our OEM portfolio. We're investing in the brand and front-end salespeople and after-salespeople; aftersales, of course, being important to grow this value-added services proportion of our business. We've been investing, as you know, over the last few years in making sure that our customer satisfaction as witnessed in reputation.com is going up, up, up, up and greater than our competitors in every one of our markets, which you can see APAC grew substantially last year, and the overall group did too. And then we're working close -- even more closely with our OEMs to make sure we're getting the right products into our market to drive our competitive position. I mentioned some of them before in terms of bZ3X, for instance, into Hong Kong, more Suzuki products; similarly with Subaru, you can see what we're doing with Great Wall Motors and Changan and Foton in Australia. So even deeper collaboration, bringing our knowledge of markets with our OEMs great products to make sure we win in the market. Then in terms of Chile, where do we see that brand portfolio playing out? Look, our market shares are there or thereabouts around 23%, 24%, 25% in Chile. The economy -- the economic indicators in Chile are pretty good. You've seen a new government come into place. We're seeing interest rates in about the right place, inflation coming down, consumer sentiment in the right place for us. This year, we think the market will grow 5% or 6%, but it's still at an all-time low really, low 300s. (sic) [ 300,000 ] It might get to 330,000 vehicles this year. It's been as high as 420,000, 430,000 previously. So I think as we move -- we're not saying this year will be the year for a big recovery in Chile. Maybe in 2027, but an uptick in growth. And then look, in terms of our brand portfolio, oh my word, do we have a great brand portfolio in Chile, right, from entry-level vehicles right through to the top end. And our portfolio, I think, is -- for me, is in about the right place. You obviously see product cycles coming through where we may see one OEM dip, but another one will build up, and we have a great retail network with our own and third parties inside the country. Do you want to add anything to that?
Adrian Lewis: Yes. The only thing I would add, Andrew, is for those of you that are watching the market data, do be aware that in the fourth quarter, there was some regulatory change, which I think probably pulled a bit of volume into December -- into the fourth quarter. So you saw higher rates of growth. That's not the exit rate in reality. So -- and you'll probably see a slightly weaker Q1 off the back of it. And as Duncan said, we're calling a 5% to 6% growth off a 310,000 market, 330,000 that's still a good way short of historical peaks.
Duncan Tait: Very good. Good to see you're organizing yourselves very well.
Timothy Ramskill: It's Tim Ramskill from Bank of America. Two questions from me, please. And I'll sort of kind of -- it's probably 2 parts to the first one. But there's obviously a lot of discussion around competitive dynamics in particularly the APAC market. So I guess my simple question is, why don't those characteristics play out as those Chinese OEMs continue to develop further in your other locations? But then linking to that, how does that play into your thoughts around M&A? You've obviously called out M&A today as an incremental focus. What are your target businesses that you're looking at facing in terms of some of the characteristics for them? They're smaller typically. [Audio Gap]
Duncan Tait: [Audio Gap] through cost actions. And to your point, it's not just APAC that's seeing competition, we're seeing competition throughout Europe and the Americas and look at the results we've delivered in the Americas and Europe and Africa with a record bottom line performance in both regions and a record top line performance in our Europe and Africa business. So we have the opportunity to perform even better in APAC. And you can see that with what we're doing in our cost base and OEM collaboration to drive the top line. Then to your point around M&A, look, do I see it? If you go right back up to the top on what Adrian was saying before, in terms of our capital allocation policy, we can wisely use shareholder funds to grow this group's EPS. We will do it by continuing to reduce our share count and looking for value-accretive opportunities through M&A, the bulk of which I would say at the minute would be in our Europe and Africa regions and in the Americas. And while the APAC team super focused on driving improved performance, top line and bottom line. Abi, I think you're next.
Timothy Ramskill: Can I just -- that was my first question. Sorry -- it was well hid and I recognized. Just -- sorry, the second one really quickly. There's obviously the GBP 17 million of sort of more one-off gains, which you do include in the sort of the reported adjusted PBT. Is there anything you might anticipate in the next couple of years of a similar nature? Is there any other sort of noncore tidying up that might bring with a small gain?
Adrian Lewis: That's probably mine.
Duncan Tait: Yes.
Adrian Lewis: Thank you, Tim. Yes, GBP 17 million. If you look back over history, this group has a track record of capital recycling where we've deployed our assets around the group and where we see those assets deploying suboptimal returns because I want to be very clear, these are not sale and leasebacks. These are noncore asset disposals. And as we look forward, yes, we continue to see the opportunity to optimize some assets that continue to be deployed. There's nothing factored in for 2026, and you'll see nothing held on the balance sheet as an asset held for sale. So it's probably over -- slightly over the medium term that we see the opportunity. But let me be very clear, these are not tactical steps that are there for other reasons. These are strategic moves as we look to optimize returns and recycle capital.
Abi Bell: Abi Bell from UBS. Just 2 questions from me. Firstly, on the Q4 trading trends. It looks like there was quite good volume momentum, although a bit softer than the strong Q3 you reported. How should we read your guidance to be at the lower end of that 3% to 5% range for this year? Can you specifically talk about any contract ramp-ups, losses or product launches that we should be aware of or anything else? And then secondly, just back to the BYD contract. Can you explain how the BYD contract differs to other contracts in your portfolio? You highlighted that the tenure of the relationship has been shorter than other brands. So how does that translate to the performance or the conversations you have? And can you explain why you're therefore confident in the longer-term relationships such as Changan or GAC?
Duncan Tait: Sure. Adrian, do you want to [indiscernible]
Adrian Lewis: Yes, I'll start off. I mentioned earlier on the question around some of the Latin American markets, we saw some real positive momentum. There was a bit of phasing in Q4, which might support that. If you look at our half 2 growth rates, where organic growth was 5%, that's probably a better guide as to the barometer. And if you think about the momentum in Asia Pac versus the momentum that we've got in Europe and Africa and the Americas, they're the offsets that get you to that lower end of the 3% to 5%. You saw a small price mix headwind as we skewed the business more towards a heavier weight in the Americas, where average selling prices are a bit lower. I expect that to be broadly neutral across the course of this year. And they are the building blocks that get us to the 3% to 5% and towards the lower end of that as we think about '26. Duncan on BYD?
Duncan Tait: Thank you very much, Adrian. Well, so look, if I take a step back, BYD seems policy-driven. And you can see that in Germany, what's happened in the Netherlands with other distribution companies, what's happening in the Nordics -- so it seems to be more policy-driven. If I look at our performance in Belux, we have performed, as you would expect Inchcape to perform, really strongly. And we will collaborate as ever with our OEM partners and BYD. And look, we performed well also with the BYD contract we have in Ethiopia and in the Baltics. You then mentioned about our other Chinese partners in Changan and Great Wall in particular. Look, through the Derco acquisition, we have relationship to go with those OEMs back for 15 or 20-plus years. They are big believers, as I am, that using independent distribution enables them to drive performance. So we look after those small- to medium-sized, more complex markets. Well, they drive performance in the larger markets in the world. And I think that's exactly what you see playing out with both of those OEMs that you referenced. So if I look at Changan, of the 50 contracts that we've won over the last few years, they represent a good chunk of those would be more than about 15 contracts with many in the Americas and our Europe and Africa region and in APAC. And you've seen us call out deals with their sub-brands like Deepal,, Nevo, Avatr. We just launched Avatr in Costa Rica. So we're working super closely. We know them at headquarters, regional -- and regional levels, and we're driving performance for them. And similarly for Great Wall, where we've won more contracts in the Americas, hopefully more to come and of course, contracts in APAC. So as ever, we will be super collaborative, but I think we have a brilliant portfolio of long-term relationships and brands. Arthur?
Arthur Truslove: Arthur from Citi. So first question for me. In terms of your markets as a whole, are you able to just talk a little bit about which markets you think are performing kind of above historical norms and which ones below historical norms? Second question, just on Europe. Are you able to just talk about which countries you're particularly optimistic about in '26 and which ones performed particularly well for you in '25 and indeed, the vice versa? And then finally, just on the aftersales stuff. If I remember correctly, some of your markets performed incredibly well in '21 and '22. When do you sort of think that then starts to translate into aftersales?
Duncan Tait: Okay. I'm doing the second one.
Adrian Lewis: Sure enough.
Duncan Tait: And I'll comment on -- make a comment on your market point, Arthur. So if I start on the left-hand side of the map, and let's go through the big markets. So post the Derco acquisition, those big markets, think Chile, Colombia and Peru, where are they now? Chile at the low end of the 10-year average in terms of total sales in that market. This year, it might get to around a 330 (sic) [ 330,000 ] number. I think it will pick up in subsequent years. And the economics are set, I think, for '27 and onwards to have a nice boost in that marketplace. And I'm very pleased with our share. And in those other 2 markets, Peru and Colombia, oh my word, are we pleased we bought that Derco business. We've gained share in Colombia. We've gained share in Peru. Both those markets grew at over 20% last year. I am optimistic for their performance in 2026. And then looking -- our story in Europe is very much of super, super performance in those Southern European markets where we have gained share and the markets seem to be supportive of longer-term growth. So Greece, I think, will continue to grow for us. We're optimistic about Bulgaria. Romania has had some changes in taxation and legislation, which have moderated the market a little bit, but our performance has been super strong. And I think in Northern Europe, so if I take markets like Finland, I just think those economies might take a little while to come back. So there's still many of those markets at historic lows, including places like Estonia. Then if I move to APAC, look, I think Australia will be about flat at 1.2 million units or so this year. We saw an interest rate tick up a little bit in the fourth quarter, which generally moderates consumer demand, but we've got a good portfolio, and I think we'll grow share. Look, on our Asian markets that we operate in, they're still at their lows. Singapore still has another 3-or-so years to go in that upward COE cycle. We're getting better product into that market to enable us to access some of that growth. So I think APAC in general, those markets will grow over time, and we're working super hard with our OEM partners to make sure we have the right products that we're bringing into those markets.
Adrian Lewis: And on aftersales, Arthur, let me sort of explain a little bit of the dynamic as to how this works. So -- and we've got one of our European colleagues at the back of the room, and he knows very well that some of the Japanese brands, we see vehicles staying in the retail network for the main brands well into the 10th year of a particular vehicle's life. And so we get very, very high levels of retention rates. And the opportunity for us to take the things that we do for those brands into the Chinese brands where we typically see substantially lower levels of retention is the thing that's going to drive aftersales gross profit at a faster rate than our vehicle growth. And that's the opportunity that really presents if you think about the UIO that we've got in Latin America, particularly, to take the learnings we have from the Japanese brands and deploy it into those sorts of brands across the region. I think the opportunity is really big for us. So that's some of the dynamics that will help. We're not going to give you a time frame of when we're going to do that, and we're not going to say, look, this brand in this market's -- retention in the 10 year is that, but that's our strategic intent.
Duncan Tait: Very good. So I think.
Adrian Lewis: We've got one on the conference line.
Duncan Tait: Okay. So let's move to phone lines.
Operator: [Operator Instructions] Your first question comes from the line of Akshat Kacker from JPM.
Akshat Kacker: Akshat from JPMorgan. Just 2 left, please. The first one on APAC. I see you mentioned some production disruption in certain markets in the first half. Could you just give us more details on that? And if you think we can maintain the margin profile in that region to around 6% to 7% in the start of the year? Or should we be below that range in the first half? And the second question is on contract exits and wins that you've announced. So with Geely, I remember you signed a global strategic agreement in 2021 with a focus on LatAm. So does the recent development mark a full stop to distributing Geely vehicles for now? And on the other hand, I see you have been making a lot of announcements with XPENG. Could you just give us more details on discussions with these multiple Chinese OEMs and which ones should we look out for going forward?
Duncan Tait: Akshat, thank you very much for those questions. So look, I think -- in terms of the first one on APAC, Adrian, if you could comment on margins, actually, you may as well comment on production as well, and I'll talk about portfolio management.
Adrian Lewis: Sure. Thank you for the question, Akshat. Production disruption is very specific to some of our Japanese OEMs. And again, it's a very similar dynamic that we had last year where there's some repurposing and reengineering of some of the production lines that will impact supply in the first half and push supply and push us into a second half weighting, particularly in Australia. And to your question around margins, look, I think the work we are doing around cost and making sure we've got the right cost base across the region and in specific markets where we've got a slightly different rate of sale as to where we've had previously. I think that will all serve to underpin margins as we have seen previously. So hopefully, that gives you some reassurance around the work we are doing to make sure margins stick. Duncan, back to you.
Duncan Tait: Very good. Thank you, Adrian. So Akshat, in terms of then portfolio management, the first thing to say is I expect us in 2026 to continue to optimize our portfolio with an eye on shareholder returns for OEMs that we don't necessarily have at the top end of our strategic analysis. And your specific question about Geely. So in '21, I recall us signing that relationship with Geely. And I was very clear at the time, we're going to start in Chile. And if we can make Chile work mutually for customers, for the OEM partner and for us, then we'd expand. We did take on 3 further markets. Now my view on that is that the product portfolio relative to where those markets are in their transition to new energy vehicles, it's difficult for them to be a 5% market share player or greater, which is the aspiration for that particular OEM. And our belief was that portfolio was not capable of getting to that market share. And therefore, we have been working constructively with Geely across 4, and we would call them immaterial markets in the Americas, to move those on to other distribution partners. Relationship -- and that has all been handled in a super smooth way, just as you would expect Inchcape to behave. Now at the same time, with those core OEM partners that we've been growing relationships with for 20 years, we've signed more and more contracts, Geely and Great Wall being a good example. And then we have started working with XPENG initially in Europe, in our Northern European markets. We've also taken XPENG into the Iceland acquisition, where that business is performing quite nicely. And we have just secured that XPENG in Colombia. Let's see what else happens this year. And in terms of go-forward OEMs and contract signings, look, this is a lumpy business we're in. We'll give you a regular update at each of our quarterly earnings updates. And as usual, we'll show you, and you can see it in today's pack, the last slide in our deck will go through -- in the appendix will go through wins during the year and exits too, just so you can keep close to how we're managing our overall portfolio. Final thing I'd say is we have a brilliant portfolio of long-term great OEMs. Thank you very much, Akshat. And nothing on the webcast. Very good. So look, in that case, thank you very much for coming along to hear about how Inchcape performed in 2025. We delivered a strong 2025 performance. We grew EPS greater than 13%. We intend to grow in 2026 and our midterm targets and our aspiration accordingly are in rude health. Thank you very much, everybody.